Operator: Hello, ladies and gentlemen and welcome to the Crown Crafts, Inc. Investors Conference Call. Your host for today’s call is Mr. Randall Chestnut, Chairman, President and Chief Executive Officer. [Operator Instructions] Any reproduction of this call, in whole or in part is not permitted without prior written authorization from Crown Crafts, Inc. And as a reminder, this conference is being recorded today, August 12, 2020. At this time, I would now like to turn the call over to Ms. Olivia Elliott, Vice President and CFO, who will begin the call. Please go ahead.
Olivia Elliott: Thank you. Good afternoon and welcome to the Crown Crafts investor conference call for the first quarter of fiscal year 2021. With me today is Randall Chestnut, the company’s President and Chief Executive Officer.
Randall Chestnut: Good afternoon.
Olivia Elliott: A telephone replay of this call will be available 1 hour after the end of the call through 4:00 p.m. Central Standard Time on November 13, 2020. Also, a web replay of the call will be available for 90 days and can be accessed by visiting our website at www.crowncrafts.com. Before we begin, I would like to remind listeners of the cautionary language regarding forward-looking statements contained in the press release. That same language applies to comments made in today’s conference call. Also in regard to comments made in today’s conference call that are related to the company’s recently announced dividends, it’s history of paying dividends and the annualized yield on the company’s common stock, we remind listeners that the declaration of each dividend is at the discretion of the company’s Board of Directors and the company expressly disclaims any assurances as to the frequency and amount of any future dividends. I will now turn the call over to Randall.
Randall Chestnut: Thank you, Olivia and welcome to everyone on today’s conference call. We appreciate your time and interest. Before the market opened this morning, we released our earnings for our first quarter, which ended June 26, 2020 and we are going to discuss the first quarter results and I will take you through a brief a brief overview of it and then Olivia will give you little more details. Net sales for the quarter this year was $16.205 million as opposed to the same quarter last year of $15.942 million, or an increase of $263,000 or 1.6%. Net income for the same period this year was $1.215 million as opposed to last year of $1.079 million or an increase of $136,000 or 12.6%. Diluted earnings per share were $0.12 this year versus $0.11 in the same quarter last year. As we began the quarter, we were at the height of the corona-19 pandemic. During the quarter, our internet business, both direct-to-consumer and through e-commerce retailers grew very nicely. As we have previously reported, we set up our warehouse in Compton, California, to be able to drop ship direct-to-consumer. We do this for the majority of our retailers. And this has served us very well during this period as many brick-and-mortar retailers were actually closed. We have seen a big increase in consumer demand for our products. As always, we continue to maintain tight cost control and once again it proves that our company’s ability to react swiftly to changing market conditions. In the press release this morning, we also announced that the company’s Board of Directors has declared a quarterly cash dividend on the company’s Series A common stock of $0.08 per share, which will be paid October 2, 2020 to shareholders of record as of the close of business on September 11, 2020. Due to the strong performance and our financial position, the Board of Directors has decided to resume the payment of dividends as an appropriate return of value to the shareholders. Based on yesterday’s closing price, this represents an annualized yield of 6.5%. With that, I will turn it over to Olivia.
Olivia Elliott: Thank you. I am only going to give financial highlights. For more detailed analysis, please refer to the company’s Form 10-Q filed with the Securities and Exchange Commission this morning. Net sales were $16.2 million for the first quarter of fiscal 2021 compared with $15.9 million for the first quarter of the prior year, an increase of $263,000, or 1.6%. The increase in sales is primarily due to higher sell through of bedding and blankets at major retailers offset by lower sales of bibs, toys and disposables. Gross profit increased by $472,000, an increase from 28.5% of net sales in the prior year to 31% of net sales for the current year. The increase in amount is primarily due to the higher sales as well as a more favorable customer and product mix in the current year quarter. Marketing and administrative expenses decreased slightly in amount and were 20.9% of net sales for the current year quarter compared with 21.7% of net sales in the prior year. The decrease in amount for the current year period is primarily the result of lower overall compensation cost of $175,000 partially offset by higher outside services of $98,000. The current year provision for income taxes is based upon an estimated annual effective tax rate from continuing operations of 25.1% compared with 24.3% in the prior year quarter. During the prior year quarter, the company reversed the reserves for unrecognized tax liabilities that it had previously recorded for fiscal years 2011 through 2013, which resulted in the recognition of a discrete income tax benefit of $232,000. In addition, during both the current and prior year quarters, the company recorded discrete entries associated with excess tax benefits or charges arising from the vesting of non-vested stock during the period and also recorded reserves for unrecognized tax liability. The effective tax rate from continuing operations combined with the effect of these discrete income tax charges and benefits resulted in an overall provision for income taxes of 25.9% for the current year and 5% for the prior year. Net income for the first quarter of fiscal 2021 was $1.2 million, or $0.12 per diluted share Net income for the first quarter of fiscal 2020 was $1.1 million or $0.11 per diluted share, which included $0.03 associated with the reversal of the discrete income tax benefit and the associated interest in penalties. And I will now give the call back to Randall.
Randall Chestnut: Okay. Olivia, thank you very much. And Chad, if you will come back on, we will open it up to any questions that anyone on the line might have.
Operator: Certainly. Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] And the first question will be from Linda Bolton-Weiser with D.A. Davidson. Please go ahead.
Linda Bolton-Weiser: Hi, how are you?
Randall Chestnut: Hey, Linda. We are good. How are you?
Linda Bolton-Weiser: Good, good. So, good quarter. Congratulations.
Randall Chestnut: Thank you.
Linda Bolton-Weiser: I was wondering – I was looking at the segment results and seeing the bedding blankets and accessories was up about 30%, whereas bibs, etcetera, was down 25%. So that is there anything unusual going on with regard to timing of certain orders or shipments or anything like that, that made one segment so different from the other in terms of performance?
Randall Chestnut: Yes, Linda, there was in the bib and bath segment, the Sassy segment. There was a couple of things going on that depressed the sales, one, as you know from following us for a while, we have a very nice business for with Chipotle and their restaurants. And their restaurants were closed and we saw on the placemat that they give out to kids, when they visit, they go inside their restaurants and the inside has been closed. So therefore they have not been ordering goods during this quarter. That has depressed the sales for that segment of the business. And the other one which has now been fixed is the material that we use to make our Bibsters, which is our disposable bib in China, that material got diverted to make face masks. And we had a hard time finding material. We have since now found a substitute material and we have goods on order and we should be back to shipping, I am going to say probably late August or September.
Linda Bolton-Weiser: Okay, thanks for that explanation. And then the 30% growth in bedding, is that just the strength of the DTC and the e-commerce or is there anything special going on there?
Randall Chestnut: Linda, that’s 100 – pretty much 100% attributable to the e-commerce and the direct-to-consumer piece, which is our Carousel Designs that was up. But then also our retailers who have websites, their business was up appreciably. And as I said earlier, when there was a movement with many of our competitors a number of years ago to go to outsourcing and going to third-party warehouses or 3PLs, we resisted that and we said no, we are going to control our own destiny and we did and we setup a drop-ship within our own facility in Compton, California, which we have now been in since 1996. So, that gave us the flexibility and we have the flexibility to ship direct-to-consumer. So, we set it up, so e-tailers can place the orders and we have the capability to drop-ship. So that was the one of the biggest influences.
Linda Bolton-Weiser: Okay. So it sounds like that’s something that can continue to the extent that e-commerce continues to be strong maybe you will continue to benefit. Is that correct?
Randall Chestnut: Well, I mean, again you try – that’s a forward-looking statement. But you can rest assure that we are not going to shutdown that line that does the drop-shipping, okay.
Linda Bolton-Weiser: Okay. And then I think you noted while you frequently know how good you are at cost control and it did look like the marketing and admin expenses, if you exclude the advertising, it was about $3.0 million a little bit lower than maybe what I would have thought, is that sustainable or is that did you do some unusual cost-cutting or is that a sustainable level of SG&A expense?
Randall Chestnut: We think that, that is sustainable for the future.
Linda Bolton-Weiser: Okay. And then, I think that you had talked about that you got a $2 million PPP loan. Is that something that you have to payback and what’s the timing of repayment of that?
Randall Chestnut: Well, Linda, the timing is a little bit uncertain right now. The SBA announced that they were going to open up to receive applications for forgiveness Monday of this week, but our lender has not opened up their portal for us to file it. We are ready. We can do it okay. Then once we file, then the bank has 60 days, I think it is to get it submitted to SBA and then SBA has 90 days to look at it and decide if they are going to forgive it or not or if they were going to require a repayment. If they require a repayment, we don’t start until early next year.
Linda Bolton-Weiser: So, if they require repayment, it would be paid off gradually.
Randall Chestnut: It would be paid off over 24 months, yes.
Linda Bolton-Weiser: Okay.
Randall Chestnut: But that would not start until sometime after the first of the year based on the 60 days and 90 days. Now, it could be sooner that would be the requirement to start. We could get an answer sooner than that if the bank does their work and submits it sooner and then if the SBA does theirs and approves or denies it sooner.
Linda Bolton-Weiser: Okay. And if you – if the loan was forgiven, would there be any special use for that cash or just leave it on the balance sheet or?
Randall Chestnut: Well, it would stay on the balance sheet, Linda.
Linda Bolton-Weiser: Okay.
Randall Chestnut: We have used the money, okay, because whenever we applied for the SBA loan, we agreed that we would keep everybody employed through the 60-day period of the pandemic and we did that. We did that 100% I mean. And so we kept everybody employed and that’s the biggest portion of what the money was used for.
Linda Bolton-Weiser: Right, okay. And then can I ask you, your gross margin performance was quite good in the quarter, you mentioned that there was favorable mix, can you just repeat what mix was that? Was that product mix or channel mix or can you give a little more color on that?
Randall Chestnut: It’s both okay, product mix shifted to a more favorable margin slightly than historical and channel blending or channel mixing, some of the major closeout customers, the T.J. Maxx, the Marshalls, the HomeGoods, Ross Stores, Tuesday Morning were closed during most of the quarter, so they were not taking any closeouts okay. So, that has a way of improving our margin as well.
Linda Bolton-Weiser: Okay, got it. And then finally, I think that we read that you have maybe one Disney license expiring at the end of the calendar year 2020, is that correct and how significant is that license, is that a big one?
Randall Chestnut: Linda, I don’t have that information right in front of me, but I think you are right there is one expiring, but it’s not a huge one and it’s not in danger of not being renewed.
Linda Bolton-Weiser: Okay. And then well, let me just ask one more if I could. In looking at your margins over time, you did have a peak operating margin of about 13.3% a couple of years ago in FY ‘17. Is that a margin level that can be achievable someday in the future I am not putting any timeframe on it, but is there anything structurally that has changed? I mean, I guess we have had the tariff since then, but is there anything that’s changed that would make that margin structure unachievable in the future?
Randall Chestnut: Linda, again I hate to say this, but you are asking forward-looking information, which as you well know we try very hard not to share that information on a forward-looking basis. But I mean, one thing that has helped us improve our gross margin and we have said this before and I will say it again the Babies"R"Us going out of business, going into bankruptcy and ultimately liquidation at a good and bad effect. The bad effect is we lost that revenue. The good effect was because of all the advertising and promotion required for that account, it was probably the lowest margin account we had. So, that has had a positive spin on our gross margin going forward.
Linda Bolton-Weiser: Okay, that’s very helpful, Randall. Thank you very much.
Randall Chestnut: You are quite welcome. Thank you, Linda.
Olivia Elliott: Thank you.
Operator: [Operator Instructions] And the next question will come from Michael Bernstein with [indiscernible]. Please go ahead.
Unidentified Analyst: Hey, great quarter.
Randall Chestnut: Hi, Michael.
Unidentified Analyst: Hi, how are you?
Randall Chestnut: We are good. How are you?
Unidentified Analyst: At home, locked up. But in any event, the question how is the PPP loan carried on your balance sheet?
Olivia Elliott: Until we are either granted – until we are granted forgiveness, it’s carried as debt. So there is a piece of it in the current maturities and then there is a bigger piece in the long-term debt line.
Unidentified Analyst: Okay. And if it’s forgiven, which it’s highly likely that it will be or a large portion will be, will that become income?
Olivia Elliott: It will. It would be a gain. It would be below operating income.
Unidentified Analyst: Okay. And the size of that loan was a little over $2 million?
Randall Chestnut: No, little under $2 million, a $1.9 million and change.
Unidentified Analyst: Okay, that’s within my 5% error factor. Thank you very much.
Randall Chestnut: You are quite welcome. Thank you.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Randall Chestnut for any closing remarks.
Randall Chestnut: Chad, thank you very much. And again, I would like to remind everybody that these past 3 months has been a very difficult time, but your company has done well and prospered through this fiscal quarter. And we are very proud of that. And we think it’s a phenomenal accomplishment. I would like to thank all of our customers, employees, suppliers and shareholders for their continued interest and support in Crown Crafts. Q1 FY ‘21 was a solid quarter and we are very proud of it. Thank you very much. Have a good day.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.